Stephan Shakespeare: Hi, everybody, thank you very much for coming, and listening to a set of results that we're very excited about. Revenue growth is 10%, which is well ahead of the market, which we think is sort of flattish to 3% at best on average. Adjusted profit -- operating profit up by 50% -- 56%, sorry, with the U.K. and the U.S. particularly strong in our core areas at 89% and 56%. Global Data Products and Services are driving that growth and is now 49% of group revenue. We are very close to the target we set, and in fact, as of today, I think, we are at the target that we set of 50-50, and I will be suggesting later that we should no longer see that as the benchmark for reasons to do with the fact that this strategy has created the kind of Custom Research that we want, and that is totally aligned and that becomes actually organically part of the products' offer. And so that will -- that's an important landmark for us that we fit that 50-50, and we will now be free, if you like to look at different ways of defining that. Cash conversion is strong as ever, 85%. Cash balance is 21% -- GBP 21 million. Our global footprint has expanded. We have offices now in India, Italy and Spain. And of course, we did have 1 in Australia where we made a small acquisition there, and that is going well. The GDPR initiative from the EU and the -- coming at the time of low trust in advertising presents, we believe, a great opportunity for YouGov. Because, of course, we are diametrically at the other end of the scale, if that's -- what -- the other end of the scale of those who misuse data. YouGov is entirely permissioned data. People join YouGov in order to share their data. We pay them for it. They know what they've supplied to us. And indeed, the whole purpose of answering YouGov surveys is for the data to be used. Now we are in fact developing new things, and I'll talk about this in a little bit, that not only comply with GDPR, but embrace the spirit and the mission of GDPR to say actually we can do a lot more if we get granular permissioning, greater transparency even and when we use the data in a way that panelists, our members actually want it to be used. Current trading is positive. We remain confident of our expectations for the full year, and we're on track to deliver those 5-year organic growth plans that you know about. These -- this here shows, where the growth of our profits, we've got 56% growth over the period. It is as the plan demands to reach that -- that's 5-year plan of having traveled our profits over the period, and we think we're well on the way to that with 1.5 years to go still in that plan. The proportion of our revenue from Data Products and Services has grown as planned. I just talked about that. The 50-50 split is now about there. And it's all about not only -- it's about growing the high-margin Data Products, but also about turning the Custom into high margin. And the Custom margin has increased. If you want to make a comparison now where we have the Data Products at 36% (sic) [ 34% ] after you've taken off corporate costs, the Custom now is 26% (sic) [ 24% ] profit and that's really pretty close. We are very happy with that. It might be -- I was wrong, was that -- is that 24% and 34%?
Alex McIntosh: Yes, 24% and 34%.
Stephan Shakespeare: 24% and 34%. So nevertheless, we're seeing Custom actually going up to the same levels -- the same high levels as the Data Products. So we're achieving that by having -- reducing the kind of Custom Research we don't want to do. That is to say, the single project not on panel, takes more time to get the work than is worth the money you charge for it. That kind of Custom Research used to be -- used to litter our order book. We've been taking that away over the last few years, as you know. And it's meant that simply by taking that away, it increased the margin there. But even more so, we've been increasing the amount of custom work that is based on our core model. So that's more concentration on the multicountry, multiwave studies, not those one-off projects. Ongoing restructuring, continues to reduce low margin and off-panel activities, so there's some more profitability to be gained in that area. The strategic focus on higher-margin activities has resulted in Custom Research profit leaping, and as we more and more align the 2 sides of the business, we expect that to continue. So I hand you over to the details of the financials. Alex?
Alex McIntosh: Good morning. I'll take you through the top line numbers, which Stephan had alluded to. At strong top line growth in revenue 10% at -- on reported terms. Adjusted operating profit up 56%. Adjusted profit before tax up 69%, and adjusted earnings per share up 74%. The reason why you're seeing differences in those growth rates are, particularly, in adjusted earnings per share, we're getting an improvement on our tax rate because of Trump, which has been helpful to the numbers. The group income statement, just wanted to make a point here on the gross margin increasing by 2%. That really is a manifestation of the higher-margin focus that Stephan had mentioned. And as we're increasing the mix of our sales coming from Data Products and Data Services, we've seen that group up 2%, which is very helpful. The other point to make is, we've taken out a fair amount of cost in the Custom business and that's also helping drive a lot of that margin growth, particularly in the Custom business. On the balance sheet, we've ended the year -- we've ended the period rather with a good part of deferred subscription revenue. That's what we've been achieved -- striving to achieve, which is really building up a backlog of business, giving us good visibility into the next coming months. We've had some good control around accounts receivable and accounts payable, and really bringing down some of our debtor days and looking at our credit days as well. Cash flow, good cash generation, up slightly as a percentage on last year, which was 81%, 85% cash conversion. I just want to pull out the point on investing in technology and panel, within that GBP 3.1 million, and we've got GBP 1.7 million that we're spending on technology platform, and GBP 1.4 million, which is being invested in our panel, which is a combination of the existing panels we have and also the new geographies that we're expanding into. And as you can see, we've ended the period -- with the good cash balance of GBP 21.3 million. Just to reinforce some of the points that Stephan made around the difference between our products and services. You can see we've had strong growth in the Products and the Data Services divisions, which has been the whole objective of the 5-year plan. The point about saying, we're going to shift our revenue 50-50 was to make hardline decisions around trying to get that number up as high as possible, and in a second, I'll show you why. There's an expected decline in the Custom business. We've taken out a fair amount of revenue in Germany and in the Middle East for about GBP 3 million of low-contribution revenue. And we've done very well, actually replacing most of that with higher-margin work in the U.S. and U.K. If we just go through some of the margins, as you can see the Data Products, we're getting the operation, given that we had planned to do when we set out investing in the new products and new geographies. For the most part, every sale that we make in Data Products, particularly in profiles, in the more mature markets, high proportion is incremental profit. So you can see the margin in Data Products increasing pretty significantly. Similarly, with Data Services, we've been doing a lot of work around investing in panels to take some of our international work off third-party panel providers, which is giving us a margin benefit. And in Custom Research, that's a big swing in operating margins from 14% to 24%. And as Stephan mentioned, a lot of that has to do with using the technology and the panel that we have and aligning that with Custom projects that can take advantage of that. And just a brief overview by revenue of our geographies. The U.S., U.K. and Germany are the largest markets we operate in. So it's encouraging to see a lot of growth coming in, particularly in the U.S. and U.K. And typically we're seeing most agencies in those geographies make single-digit growth figures. So these are very encouraging numbers. Other areas we've been spending a lot of time and effort to ramp up have been France, which is another significant market. And Asia has been a big drive for us over the last couple of years. And so you're seeing 62% and 65% very large growth numbers there, albeit a smaller basis, but still encouraging. We're going to operating profit, the U.S. and U.K. is the core driver of profit for the group. And with a good strong revenue growth, we've seen a lot of that convert into profit. This is -- another point to make is, Asia Pac which has been an investment area for a while as we've been expanding into new offices and new countries in the region, we've now got that to breakeven for the year. So that's a good result for the group. With that, I'll hand back to Stephan.
Stephan Shakespeare: Thanks, Alex. Just a quick reminder of what we are? And we are a global data and analytics company, with 6 million on our panel. That's increasing all the time. 25 million surveys, most quoted in the U.K., second-most quoted in the U.S., third-most quoted in Germany. We have -- we are one of the top players in the international market research networks. 35 offices and growing, and over 2,000 clients, many of them the top names. Many of our top clients are the very top of the new. They are not -- no longer new of the big place in Silicon Valley. So it is a very strong suite of very sophisticated clients. And I would say that it is the sophisticated clients that are most likely to use YouGov. So we believe there's a -- that suggests more growth in the future. BrandIndex remains -- our flagship brand intelligence service remains our key data that we also share publicly, in the press and so on. That sort of demonstrates what we're capable of. It is continuing to expand strongly. We see no letup in its growth. Although, if you took a slide rule or micrometer measuring instruments to those, that last column, it's perhaps not quite as high as you might want it to be to maintain that pattern. I suggest to you that's in part because we are selling that and Profiles together. We're obviously seeing a big increase in Profiles, and it's becoming hard to say exactly what the revenues are for. We actually sell it now not so much as BrandIndex and Profiles, although, we do that as well. But the presentation talks about Plan and Track. Plan and Track is -- you use Profiles planning, you then track it in BrandIndex. It's not the only things that you could use them for, but that's a key basic marketing activity that these products address. And they are sold as far as we can as 1.5 for -- that is to say 2 for the price of 1.5. And it's kind of hard sometimes to say where that goes. So we are seeing in the Plan and Track offer continued fabulous growth and no letup in that. Omnibus also continuing to grow -- continuing to suggest it has plenty more to -- in fact, as you know, it's very strong in the U.K. and becoming stronger in the U.S. and Germany and other places. As we strengthen that proposition across Asia Pacific as well, we think there's a lot of headroom in that. Custom Research, I've been focusing quite a lot of Custom Research today because of the fact that we are -- it is a major part of the business, it complements now. It now complements our data offering and the profitability is really going up, as you can see, in the picture there. It is a very differentiated offer. One of the things we didn't use to like about Custom as such was that essential everybody does much the same thing in Custom. We are now able to say our Custom uses our syndicated data that no one else has that data, and so there is a richness there that is unique. We are also adding MRP and other analytical forms to that, so that will continue to get a lot of our attention and becomes integrating Custom Research, and the analytics that go along with that to the use of the data and the products is a key area of work for us and will lead to further growth. I think at the last time we saw each other, Dentsu had already or were just about to announce that. They -- it goes to this presentation to say they have made the announcement that they've replaced could Kantar TGI with YouGov's profiles. It is not just now another tool. It is integrated into their services. It's actually integrated through Nielsenâs IMS platform. And it is part of how they think about doing advertising. It isn't some extra nice piece there. It's central to what they do, and the Head of Insight and Analytics at Carat. Carat has said that it allows them to do planning to build segments in a way that they never could before. Segmentation is a key function of profiles, it is to understand your target audiences with much more granularity that used to be a few simple demographics. Some of our products still express target groups, basically in terms of demographics, in terms of age, gender and income and that's it. What Profiles allows you to do, is to do that in much greater granularity and that is appreciated by one of the world's most successful marketing companies. The GDPR and I'm sure we'll have some more conversation about this, really gives us, I think, some important opportunities. The new rules will form -- will require new forms of permissioning for the use of personal data. We know that, that's got a lot of publicity lately. YouGov panelists' explicitly permission their data with us -- to us. And what we're doing is already, we believe, compliant with EU -- with EU's GDPR. But we think we can do more than that. Our strong relationship with panelists offers us a major opportunity to use data in an innovative -- in a more innovative way. There are things that you could do when you have permission at a granular level, and you're trusted to do things with data that you can't do if you're frightened of treading on some compliancy toes as it were. So we say more than it's about -- it's not just about [ compliancy ], it's about compliance, it's about doing more with it. And so we are using it to enable a self-service system of research that allows clients to build on cube data at a level of granularity not previously possible. This is not yet out there as a service, but what YouGov Direct, which is our innovation in this area using the blockchain for granular permissioning will allow us to do, is to give researchers direct access to the panel, not by name, but by very specific and detailed pieces of defining data that allows them to talk to exactly the people they want to talk to, and to understand better what their motivations are, and how they live and all those great things that allow you to really understand your market. We can broaden the types of research that can be offered to self-service clients. The self-service out there that you can get at the moment is literally just defining by a few variables a survey and running a survey. We think we can go further than that. We can embed personal data inside marketing processes for better ad targeting, which is the very thing that you would be nervous about, if you was -- if it wasn't permissioned. If it wasn't a transaction with our panelists, but that's what YouGov Direct will allow. So it will also create cooperative relationships with publishers, as YouGov works with publishers to improve their marketing in ways that are GDPR compliant. So that is one of the key strategic developments. We continue to develop the connected-data system, bringing things together. New mobile app and websites being rolled out worldwide. The YouGov Profiles tool now being delivered on our analytics' tool Crunch, which is gaining in its ability to do great things to data. Every week new things are being added to that tool. We're expanding our reach to further markets, India, Italy, Spain and, as I mentioned, the acquisition in Australia. We have a 24/7 operations capability now with a new shared service center in Mumbai. YouGov Direct, the blockchain-based system of the data transactions that is compliant in -- with GDPR is in development and will allow new kinds of research. And we're exploring commercial opportunities for advanced population modeling, that's MRP, which you remember was such a success at the last general election, that has a very strong commercial application, just as we were able to predict down to the constituency level, what happened against expectation in that general election. MRP could be used to make the cube data robust at very small levels. So if a supermarket is concerned -- is interested in the customers of just one supermarket area that can be done with MRP in a way that other kinds of research don't allow. And we're continuing to add new types of data and connect it into the core data library, the cube. And we are releasing soon a new bit of public data, which also fits into the cube, which is a popularity score. It is not going to -- for the first time, it's not going to be released first in the U.K., it will be released first in the U.S. in the coming months, and then come to U.K. after that. That actually is a reminder that the U.S. is our biggest market. It remains our fastest-growing market and it remains the key market for the future. And so for the first time, we'll be releasing a new product in the U.S. first. The outlook is very positive. We see the demand for our syndicated-data products remain strong, indeed growing. There are further opportunities with growth in Custom Research aligned with core connected -- our core connected data offering. Those 2 things coming together will be a story, I think, as we go forward. In the second half, the trading has continued positively, and we are accelerating our investment in technology and geographic expansion. That does not mean we're going to see mounds of cash going into the cost part, but it does mean that we are committed to basing our future and our growth on staying at the leading edge of the technology of research as well as in geographic expansion. We're confident of our increased expectations for the full year. We're on track to deliver our 5-year growth plan, and we are getting quite used to now to working to a 5-year plan. As this one comes to the end, there will be another one. And that will have ambition at least as big as the first. In fact, it will be something that -- it will overlap, we intend to start the next 5-year plan in the -- what is the final year of the previous one. I realize it sounds a bit Soviet but it does work for us. It's very much about having a clear idea of where you're going, remaining adaptable. And if you look at what I was saying 4 years ago, largely, the things that we said is what we've done -- is what we did. And the world has moved towards us, I think, significantly according to the vision that we had then. But not everything goes the same, so it's not a rigid plan. When things change, we have to adapt them and we have been able to adapt. And -- but we're convinced that we have here a methodology, an idea, a brand, a way of doing things, a model that has a huge amount of development left in it. And that the only way as a small company, and we're still pretty small that we can be a giant, which is what we intend to be, is to have -- it will be very strongly focused on a plan that we clearly set out, both internally and externally, and play to. So the next time we meet, I'll be putting more meat on that bone, I was going to say, and -- but you can see the direction it's going into. It is about more and more data, more and more connected to each other as well, Custom and Products, and then perhaps going upstream in the advertising -- in the process of targeted advertising. So that's where we are. There's an agenda in the pack you have, which has some more slides that I presented when we unveiled YouGov Direct in Dubai, a week or 2 ago. Happy to talk to any aspects of this presentation. Thanks.
Fiona Orford-Williams: First of all, let's see, -- I do beg your pardon. All right. It's Fiona Orford-Williams from Edison. There is a -- On Slide 5, and on Custom Research, you're saying ongoing restructuring program. What else is there to do because I know you've done a lot of work in Germany and Middle East. Is that really referring to the benefits of the restructuring you've already done? Or is there more to do? And my second question is on operating margins. 40% in the U.K., is that sustainable? And is it achievable in the other territories over the passage of time and the rollout of the Data Products and Services?
Stephan Shakespeare: Alex?
Alex McIntosh: Okay. On the restructuring question, we will always look at opportunities for improving the business model. And as Stephan sort of alluded to, we are adaptable. So we've taken quite a few decisions over the last 12 to 18 months to get ourselves in the right place. But of course, we're constantly looking at other opportunities for that. And so not suggesting we are doing anything major, and there isn't anything major planned. But it is something that's very important to us to make sure that we've got the right operating model everywhere we are operating. And it's critical that the things that we're doing uses the technology and the panel because that's clearly what differentiates us. So on the margins, the U.K. has always delivered fairly sort of robust margins to do with the large volume of work that goes through our panel here. Yes, we view that as sustainable as we increased more of our revenue from the Data Products and the whole aim of that is to try to capture as much incremental profit as we can from each sale. And so we should see those certainly stable. In the other countries, it's a little bit of a mixed bag, because it depends on how fast we can accelerate our operations in the region. We'll always be looking at expanding. And so every time we expand this, obviously, takes us time to ramp up because of the nature of the products we're selling. They're syndicating products. We take the cost upfront, and we're recognizing 1/12 of the revenue over the period. So we need the momentum building, but we're seeing margin progression in all of the countries we're operating in.
Paul Richards: Paul Richards, Numis. So can you give us an update on MRP? I think last time you spoke, I got the sense that it's -- it was a project that is looking to improve the efficiency of what you already do rather than something that would be necessarily charged for separately, as a discrete product? And second thing is on the blockchain initiative, that feels to me much more like something that you would look to develop new Products and Services around that, sort of flip through the back of the presentation. So just some idea of the potential scale of that? And then finally, given these 2 very substantial initiatives, annual very strong cash balance, whether you could use the cash balance to accelerate the rollout for these or if that's necessary?
Stephan Shakespeare: Yes. So firstly, MRP. So that, as you know, is a methodological tool that is very much still being developed. It's -- it was invented in -- by some people in Columbia University. In part -- I don't want to overclaim, but in part with some support and indeed some experimental work by us, so we are the sort of leaders of the practical application of it. As you know, it has had 3 outings, of which the last was the most public and the most successful. The key now, from a commercial point of view, is to make that not something that you need data scientists to construct each time as a model, but to create a essentially an automated novel -- model where in any situation you simply apply MRP in a sort of preset way. And that's the work that's happening now is to say, okay. How do we apply to essentially the cube, so that everything in the cube becomes that much more robust at granular levels? We have this Big Data set, the entire data set can be put through that system and made better. And it will then allow people who're using it to get down to much smaller areas than they would ever been used to before. So is that a separate product? Well, it makes the existing product much more compelling, and actually much more usable because you can get down to small groups. It's not just geographic groups, by the way, it is demographic groups as well. What MRP allows you to do, in a nutshell, is to rely on the data at lower levels of certainty about the representativeness of the sample. And that is the equivalent, if you like, of the technology that allows you to take a fuzzy picture and then get a clear one out of it. It's -- it adds value to everything. So you're right. It may not be something that we sell as a product, or you can have this with or without MRP, that would seem artificial. It would probably be more -- it's going to cost you a bit more because it's that much more valuable to you. The second point was -- the second question was about GDPR -- about YouGov Direct, yes, so because this is an inherently speculative area. My concern from the start was what very straightforward practical value does this have at the level of work we're currently doing? In other words, the investment we are making, which is not in fact huge, and the development cost needed to pay off, at simply the level of making what we do at the moment better. So there isn't any speculation as to is this going to take off and be some big thing. It works, it's important to us right now to comply with the GDPR in the first instance, and it does that in a spectacular way because every use of the data, other than the forms that are already signed up for, when you -- so just take a moment outside of the normal stuff that we do, which is run the surveys and then aggregate the data and publish aggregated data, that's completely GDPR compliant as it stands. And that doesn't need, I mean, the -- we always want to increase the information we give about that and make the permissioning more explicit, but we're already explicit, we're already using it in the way that we're allowed to use. There's no question mark over that at all. But if we want to go further, and if we want to put it into our targeting and into -- in a granular way and allow self-service research, which won't go down to individual people, but will go into small groups then for additional things that the data wasn't initially permissioned for as it were and is not happening at the moment. To make that happen, we have to have that permissioning. That's what YouGov Direct does. So the first thing it does is it makes possible extensions of our current research work. At the other end, it potentially allows a new type of advertising, as people can go to YouGov Direct as members can and say, this is the type of advertising I'd like to receive. These are the things I'm happy for people to know about me. And that can be both applied on the YouGov platform, or it can be used to enhance the targeting abilities of publishers on their own sites, again, in the GDPR compliant way. There is -- it's, obviously, and I'm not suggesting will -- it'll be anonymous because we don't know. But it is -- it puts us into a market that is much, much larger than the market we're currently in. I mean, we stay in that market too. I don't mean we move out of it, but what we get -- we become directly players in the ad-delivery space. Now as I say, not at all suggesting, that's what will happen or that we will do that, that's not the primary motivation for what we're doing. We're doing it to improve data security permissioning, all of that stuff, but that's the area that we are then, at least, getting a foothold in. And the last part of your question?
Paul Richards: So that's just around the GBP 20 million.
Stephan Shakespeare: Oh yes. So, yes. I mean, look, there were 3 areas that we are interested in expanding. One is the type of data that we have. So there are other kinds of data that we don't collect at the moment or that we don't collect so well, that others might have the technology to do better. And so that would be an interesting area. The second is to gain a bigger foothold faster in key territories, as we did with the Australian acquisition with Galaxy. And the third area is expertise and strong client group in some specialist areas that we may not be so strong in at the moment, but where our data is well-suited, that'll be a third area. And these are all areas that we're interested in, and where we are looking at things. We definitely now -- when we began on this journey, it was after-a-shaky period and having some extra cash in the bank was a good thing. I mean, we deemed it good just for example. That isn't the case anymore. It's actually not, particularly, helpful to have money there that we're not putting to use. So we are actively looking to do that. But we still remain on the conservative side that we are not going to be announcing some joint-acquisition program. That's not going to happen. Do you want to answer these?
Alex McIntosh: No, it's just fine.
Jessica Pok: It's Jessica Pok from Peel Hunt. I have 3 questions, please. So you've obviously -- margins are going quite a bit focused on research. And you mentioned earlier that this is moving away from kind of one-off projects. Could you give some more color as to what kind of projects are reaping these high margins? I know you've talked about these Custom trackers in the past. But just in terms of the projects, just a bit more color on that? And secondly, Custom Research has reached margins about 24%, but over the medium-term, where do think margins can reach realistically for Custom Research once you possibly do more restructuring, and et cetera? And thirdly, you've talked about the vision for YouGov Direct, but in terms of what you've achieved so far, and there was talk about getting partnerships on board in terms of publishers or the ad agencies. And how are conversations going? And when can we expect kind of to see the next stage, I guess?
Stephan Shakespeare: I'll start with the last of those and handover to Mac for the other 2. There are conversations that are ongoing, and the more we talk about it, the more interest we create and more conversations that we're developing -- that we're having. But we don't have a product that's testable by anybody at the moment. And so we are talking about it because we need to develop the relationships to make this work. But we very strongly stress that there is no practical product available at the moment. And so the question is, when I would be disappointed if we didn't have something to show within the reaches of a summer if we define that summer slightly generously to include perhaps an Indian summer. I mean, it's hard with technology to know because you have new ideas as you go along and you want to add things to it. But we're talking about something that I think will definitely have some operational capacity this year -- this calendar year, but maybe a bit for it.
Alex McIntosh: I'll go -- I'll keep going in reverse. Is the Custom 24 is -- 24% is a good result for us. We should see it probably coming up a little bit more, but not much, and that's really because we are prioritizing the Data Products. The first tranche of work within the Custom business has really just been just sort of good housekeeping making sure we're doing stuff that could differentiate. As Stephan alluded to with -- as we're bringing together in one systematic way of selling, we would like to reenvisage -- revision a new way of doing Custom, which really utilizes all of the core assets. And so if the current business as it currently is, that will undoubtedly begin to change as we develop some of those plans. And that kind of leads into the first question, which is what types of projects do we see as generating the good margins in the Custom business. Any project that we have, which has got high volume of survey requirement and, obviously, is running over a period of time, is very useful to us because we're using the economies of scale that we built into the survey system and the panel, obviously. So volume is good for us. The fact that they are trackers and that we have sold them sort of onetime and they may last for 1, 2 or 3 years, clearly, also gives us a good business, which we can build upon. The sort of previous model we had as we were developing our capabilities and our brand within the space meant we were getting a lot of one-off project work, which means every year, you could resell all of that project work, so a very inefficient model. So getting these larger trackers create some efficiency and that allows us to then think through how do we build in the data proposition into those trackers. Because where we are wining those, the fact that we already have data and we already have a view on a brand or a sector what wins us that work.
Stephan Shakespeare: And I'll just add to that. The value of our analytics engine Crunch. So one of the things I said earlier on was, as we invest in technology, we actually get greater value out of that, increasing value as we go on. And Crunch is a great example of that because it allows us to do things we couldn't do before. It doesn't just make the analytics better. The large-scale trackers are a great example of that. The sort of trackers that we're doing now are things that would not have been opened to us 5 years ago to the same extent. There's a lot of processing involved. You have multicountry, multiwave trackers there's an awful lot of processing involved, somebody like Kantar does this as a routine thing offer that they have, and they'll have departments of people who just clean the data for these trackers. Well, Crunch does that automatically. It means that all that heavy lifting that you have to do when you do these big complicated global trackers can now be done -- or at least, mainly done automatically with no effort really, and at a better quality. So that's a great example of how a piece of technology is allowing us to do even Custom Research in a different and better way. And the growth has really been in getting more customers like that. It's a very, very big part of our industry, which you've had a relatively small sight of. And we, obviously, now think we can play with anybody as equals. Well, I think, we're better than anybody else offering that now.
Unknown Analyst: Really impressive growth in Profiles. So Profiles available in 13 markets, and that's 200 clients. BrandIndex, 32 markets, 400 clients. Is it fair to say that most of the people who could get Profiles currently take it? And that further penetration will come from rolling that to new markets or is there still major growth curve for -- in your existing markets?
Stephan Shakespeare: No. I'm afraid, it's not true to say that everybody who could have it has it. There's -- as far more -- what's the word? The opposite of momentum, it's -- anyway, doesn't matter. People don't like changing. People don't -- it's -- it remains -- I've said this probably every 6 months, TGI remains a very important piece in this because people have used it for years, and they will continue to do that. And inertia is the word I was looking for. And so there's lots and lots of people, I mean, everybody should be using Profiles. They really should. It just has much more data. Anybody who uses the rival would just find more data, more robust, more current, lower cost. I mean, there is no aspect of it that we're not better at. So it should be used universally, and we're nowhere near that. All the time I stress that the smartest people in the room as it were are the ones using YouGov. I mean, it's people like Dentsu who think, hey, we can make this part of, we're going to give up the old and do the new. There are so many more clients out there that are not doing there. The second thing that needs to be said is that the Profiles is in its full form is available in U.S., U.K. and Germany. We have a thing called Mini Profiles, which is in the other countries, which is still a lot more than you would get anywhere else, but it's a much smaller offer. So full Profile allows you to go into thousands and thousands of different micro brands. And you can look at audiences from -- for the novel Moby-Dick, right. It's just incredibly extensive. The Mini Profiles is much more focused on the things that people use all the time, but those will grow as well. So it's not the same in all markets.
Unknown Analyst: Are there people who take Profiles on its own?
Stephan Shakespeare: Yes. Yes. Yes.
Unknown Analyst: So I was thinking it was like 400 people in BrandIndex, not those to [indiscernible].
Stephan Shakespeare: Well, so, so, every single person can get value out of Profiles. I mean, a band and indeed, some music companies are our clients. Do we use them? No. [indiscernible] anyway, so there are music bands that use it, and a single band can get value out of Profiles. The BrandIndex is only going to be for major brands because it has daily tracking. You wouldn't -- there are lots and lots of clients who simply wouldn't use BrandIndex because they're not big enough for that. Jessica?
Jessica Pok: Previously, we mentioned that for BrandIndex that there is a huge opportunity in the U.S. for regional brand tracking. And has that -- have you started to exploit the opportunity? And are there enough sales support in place to support the opportunity in the U.S.?
Stephan Shakespeare: We are doing some political work at a very small -- at a very local level. We haven't done that yet for major brands, unless there's something that you're aware of that...
Alex McIntosh: We can do some but we can [indiscernible] existing data.
Stephan Shakespeare: [indiscernible] cut of the existing data. You're right. There is scope for that in the future. And again, as an MRP aided piece as well. But I won't say anything huge is happening in that area at the moment.
Timothy Freeborn: I haven't been along for 6 years since I was on sales side. Tim Freeborn from Slater Investments. What -- Germany was a dull background. And it's still not doing very well. Is this -- was the Germany's state line giving away? I mean, they were one of the stars here -- I used to employ 40 Germans and they were difficult. What's going on?
Stephan Shakespeare: Well, the employees are always difficult, but I don't think it's the employees being difficult particularly there. We -- as you know, it was never a great acquisition as we very quickly realized that people were stuck in old ways. That's something we've all seen. And the company that's there now is largely a new set of people. And you'll notice that it's true that there are still problems in Germany, but if you look at products, separately from Custom, so that's kind of where there's still upside to be had because we've been talking about how Custom has changed. Well, it hasn't yet changed much in Germany. But the product side is going really well in Germany. And so what we're seeing is where the business -- is the new product-based business that's doing well in Germany and has lots and lots of headroom yet. We still have to do some more restructuring as we say on the Custom side in Germany, and you'll be more involved in that.
Alex McIntosh: Yes. We're actually expanding the product business in Germany. We've just opened up an office in Frankfurt. So we see a great potential for Data Products and Data Services, which are now there the substantial portion of the work that we do in Germany. It's been -- which is resolving the hangover of some of the difficult sort of legacy Custom businesses that -- Custom approaches has just taken some time.
Timothy Freeborn: How much of Custom revenue is still one-off? I mean, how much is -- how much is there left to carve out, just to make it as panel-based?
Alex McIntosh: It's getting less, and less, and less. It's difficult to give as an exact one-off, because we have a lot of repeat clients. I can't give you an exact proportion of how many are just buying 1 project per year.
Stephan Shakespeare: Yes. And some of these one-off projects that repeat each year, which is slightly different from an order that is a 3-year monthly tracker. So it's not a purely binary piece.
Timothy Freeborn: 10%, I mean, how much is that?
Stephan Shakespeare: I would think that's probably 10% of Custom that we still would like to trim away, while growing the other parts of Custom, obviously.
Jessica Pok: Just in the interest of making sure nobody feels left out. Omnibus still growing well. Is that -- is the growth coming from the recontact? Or is it recontact and the underlying business?
Stephan Shakespeare: So recontact is still a starting -- something starting out. It's mainly more regions coming along. I mean, it's -- the core which is the U.K. is still strong and growing strongly, as you can see from the numbers. But we are now offering that in more places. And that takes a while to establish because there are lots of competitors in this area, and it takes a while to get across the higher quality that we do.
Unknown Analyst: [indiscernible]
Stephan Shakespeare: Yes. I mean, it's very strong an area in the U.K. because we've had a long history here. It has -- there's no reason why it wouldn't be as strong elsewhere.
Alex McIntosh: Thank you.
Stephan Shakespeare: I think that's it. Thank you very much, everybody.